Operator: Good day and thank you for standing by. Welcome to the Q2 2021 Nu Skin Enterprises Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Scott Pond, Vice President of Investor Relations. Please go ahead.
Scott Pond: Thanks, Joelle, and good afternoon, everyone. Today on the call with me are Ritch Wood, Chief Executive Officer; Ryan Napierski, President and CEO-elect; and Mark Lawrence, Chief Financial Officer. On today’s call, comments will be made that includes some forward-looking statements. These statements involve risks and uncertainties and actual results may differ materially from those discussed or anticipated. Please refer to today’s earnings release and our SEC filings for a complete discussion of these risks. Also, during the call certain financial numbers may be discussed that differ from comparable numbers obtained in our financial statements. We believe these non-GAAP financial numbers assist in comparing period-to-period results in a more consistent manner. Please refer to our investor page at ir.nuskin.com for any required reconciliation of non-GAAP numbers. And with that, I’ll turn the time over to Ritch.
Ritch Wood: Thank you, Scott. Good afternoon, everyone. We really do appreciate that you join us today. As many of you may know this will be my last earnings call as CEO of Nu Skin before transitioning leadership to Ryan on September 1st. We truly have an amazing Nu Skin team around the globe and the future continues to get brighter for growth and prosperity of this business. I’m excited about all that we’ve accomplished, but I’m even more positive about the future and these are some of the reasons for my optimism. First, we’ve taken delivered actions to evolve into a more customer obsessed enterprise that delivers world class beauty and wellness products through a socially enabled affiliate platform. We’ve also positioned our business to leverage powerful macro trends and shifts in consumer behaviors. For example, we’ve focused our product development on beauty device systems and we’ve now been recognized by Euromonitor as the world’s number one brand for beauty device systems for four consecutive years. We formed key partnerships with Amazon Web Services and Alibaba, and have revamped our tech strategy by moving our infrastructure to the cloud. While this transition has greatly expanded our load capability and increased our ability to scale, I am most encouraged by the new tools and digital experiences that we plan to introduce, which will delight our customers and empower our affiliates. We’ve modified our incentive structure to speed payments and increase flexibility to our affiliates and attract a younger demographic. We purchased manufacturing assets to increase our speed and agility in bringing beauty and wellness products to market, and securing our supply chain. We established aggressive sustainability goals around people, product and planet with a focus on building a better tomorrow for our world. This foundation will continue to drive growth and profitability going forward. In the second quarter, we generated very strong results, which highlight our corporate focus on improving our geographic balance and operating margin. We reported revenue growth of 15% with the Western segments accounting for approximately 40% of our revenue. We also improved our operating margin by 260 basis points to 12.1%, which contributed to our reported 42% earnings per share growth. Through all my years at Nu Skin I can truly say that we are better positioned for the future than we have ever been. The transition of management has been going very well. Ryan and I have worked hand-in-hand over the past several years in building the strategy of the company and executing our growth plans and I am confident that he and our team will accelerate our growth into the future. Let me now turn the time to Ryan to report on the business and give more detail around our second quarter results.
Ryan Napierski: Thanks, Rich. And on behalf of our entire Nu Skin team, I want to say thank you for your leadership and your mentorship during your time as CEO and these amazing contributions that you’ve given over the last 30 plus years with the company. For the past nearly five years, we’ve been working together tirelessly to drive Nu Skin transformation into an even more customer obsessed, global and digital first company. I’m really extremely proud of the progress that we’re making. Before we describe the quarter in more detail, I’d like to discuss how we will accelerate our vision to becoming the world’s leading innovative beauty and wellness company that’s powered by our dynamic affiliate opportunity platform. We’re all familiar with the emerging macro trends that are shaping the broader consumer marketplace, including product personalization and every brands desire to know their customers on a more intimate level, digital, social and mobile connectivity, of the direct-to-consumer experience and the disruption of retail and e-commerce with social media and influencers to what is now being called social commerce. As we look to the future, we’re aligning our vision and strategy to take advantage of these emerging market forces and reposition Nu Skin as a disruptive beauty and wellness leader through three key transformational moves. First, building on our heritage of developing innovative products and leveraging our leading position in beauty device systems, we will be introducing connected device systems as we personalize our product offerings and deepen our relationships with more than 1.4 million registered customers. Second, we will continue to transform our business by leveraging the power of social commerce and our unique person-to-person affiliate marketing channel to build brand awareness and acquire customers at greater scale via social media platforms in a deeper and more personal manner than traditional retail or e-commerce. And third, we will enable all of this through our enhanced digital ecosystem that improves our ability to attract, connect and nurture customers, which currently makes up more than 90% of Nu Skin revenue. Together these three transformational moves will enable us to accelerate our vision to becoming the world’s leading innovative beauty and wellness company. So let me dive a little deeper into our strategy beginning with our innovative beauty and wellness products. We continue to focus on expanding our leadership position in beauty device systems with the launch of ageLOC Boost in several markets in the first half and the remainder of our markets in the second half. These beauty device systems now make up approximately 30% of the company’s total revenue. Additionally, we’re pleased with the first half results of Nutricentials Bioadaptives, our customizable skincare line that’s targeted towards millennial and Gen Z emerging skincare enthusiasts. For the remainder of the year, we will introduce two new product innovations. First, we leveraged our unique inside outside R&D capabilities to develop our first beauty from within solution, Beauty Focus Collagen+, which will be launched in several markets throughout the second half. This proprietary formula is our entry into the rapidly expanding $40 billion beauty supplement market. Second, we will be introducing in several of our markets our next significant Pharmanex product innovation ageLOC Meta, a supplement that supports metabolic health and helps shift the body’s biochemistry towards a healthier mode. Looking ahead into 2022, we will expand our device system leadership position by introducing next-generation connected devices, which will further enhance the company’s ability to provide consumers with more personalized product experiences to meet their needs. The second part of our strategy, our dynamic affiliate opportunity platform is how we take these products to market in order to acquire and serve our customers. Virtually every consumer brand today is looking to build lasting relationships directly with their customers, though they struggle to do so due to the constraints with their retail partners. At Nu Skin, we’re leveraging our global team of micro influencers in nearly 50 markets who utilize the power of their personal brands and relationships to provide authentic product recommendations and personalized customer engagement via social media. This form of social commerce is now enabling us to expand our target market and reach new customer segments at greater scale evidenced by the acceleration of our business over the past year. Overall, we have a growing number of affiliates adopting social commerce in the West and we are actively proliferating this model in key markets throughout the East. Grand View Research is projecting social commerce to grow from an estimated $474 billion in 2020 to $3.3 trillion by 2028, with Asia currently accounting for 68% of total social commerce revenue. We believe Nu Skin is ideally positioned to take advantage of this growth opportunity as our social commerce business model evolves in those markets. We continue to expand our digital ecosystem by incorporating new digital tools to empower our affiliates to make this shift, including Vera, our personal product recommendation app, which is currently in beta form and will be migrated to a new consumer experience app later this year. MySite, our most popular affiliate tool, which will be migrated into a more robust affiliate app with enhanced social commerce functionality. And our WeShop Tencent powered social commerce toolset that will be introduced in China beginning in the second half. Our dynamic affiliate opportunity platform is enabling us to accelerate our shift to a social commerce business model through the coming quarters. So turning to our global markets, we have been able to sustain growth in the West over the past year. Despite ongoing COVID related disruptions in certain markets, our trends are improving in our Eastern markets as we expand our product offering and social commerce business. Our customers remained relatively flat due to the surge in the prior year, while sales leaders grew 15% related to new product introductions and enhanced new leader qualification programs. In the Americas-Pacific region, the successful launch of Nutricentials Bioadaptives has helped sustain the gains we achieved during the past year. We achieve strong revenue and leader growth due to promotional product cadency and leadership alignment. The year-over-year moderate customer decline in the region is primarily due to a slowdown in Argentina related to inflationary challenges. As I mentioned earlier, we look forward to the Collagen+ and Boost launches in the U.S. in the second half of the year, along with the digital tool enhancements that will begin to roll out in Q4. Moving on to EMEA, ageLOC Boost exceeded our expectations during the product preview in Q2 and we expect excitement to continue into consumer launches in the second half of the year. Social commerce continued to propel our business in the first half, but we are seeing some leveling in the summer months as personal travel increases over the prior year. With new product launches and strong product promotions kicking into year we remain optimistic about the future of EMEA and our business there. This was a busy quarter for us in Mainland China where the launches of Boost and Nutricentials contributed to the ongoing stabilization of this market. We are strongly focused on growing this region and we were excited to hold trainings in July with more than 10,000 sales leaders in preparation for social commerce and the rollout of our enhanced digital toolset, including WeShop personal storefronts. We’re also preparing for the introduction of Meta and Collagen+ in the second half. In Hong Kong and Taiwan we remain stable with solid sales of Boost and Nutricentials Bioadaptives. We’re focused on advancing social commerce training in these markets as well and expect to benefit from the introduction of ageLOC Meta in Q4. Turning to Japan, a successful promotion of our ageLOC products, including devices contributed to the fifth consecutive quarter of local currency growth. Our business continues to perform well as we focus on engaging and training leaders on social commerce platforms ahead of our Meta previews in the quarters to come. In Korea, a strong promotion of our TR90 weight management system in the quarter led to solid 6% growth in local currency. Social commerce trainings continue in the region as well with Meta preview scheduled for the fourth quarter. And finally, Southeast Asia, this market has been perhaps most impacted by COVID with deepening lockdowns in various markets. That said, we saw revenue and sales leader growth in the region led by Indonesia, offset by continued challenges in Vietnam and Thailand, that contributed to our customer decline. We look forward to the introduction of Meta in the second half. So wrapping up, we continue to transform our business to become the world’s leading innovative beauty and wellness company powered by our dynamic affiliate opportunity platform. Our vision is on point to take advantage of the most significant beauty and wellness trends in the market. And our social commerce go-to-market strategy is aligned to enable us to reach even more consumers through the power of our micro influencer affiliates. We will continue to invest in our business to drive growth through innovation, while improving our operational efficiencies to generate shareholder value in the near- and long-term. I’m excited about what lies ahead for us at Nu Skin, as we lean aggressively into this vision. And with that, I’ll turn the time over to Mark.
Mark Lawrence: Thanks, Ryan, and thanks to all of you for joining our call today. I’ll provide a financial overview and then give Q3 and 2021 guidance. For additional details, please visit the Investor Relations section on our website. For the second quarter revenue increased 15% to $704.1 million. Quarterly revenue was positively impacted 6% due to favorable foreign currency. Earnings per share improved 42% to $1.15 and benefited nicely by improved gross margin and overall cost containment. Gross margin for the quarter improved 80 basis points to 75.6%, due to product mix, product costs focus and supply chain efficiencies. Gross margin for the core Nu Skin business was 78.3%, compared to 77.6% in the prior year, Moving on to selling expense, which as a percent of revenue was 39.5%, compared to 40.6% in the prior year. For the Nu Skin business selling expense was 42.4%, compared to 43.3%. As a reminder, selling expenses often fluctuate quarter-to-quarter plus or minus 1%. General and administrative expenses as a percent of revenue were 24%, compared to 24.7% year-over-year, as we continue to carefully manage expenses and gain leverage as we grow revenue. I am very pleased with our operating margin improvements during the quarter, which improved 260 basis points to 12.1%, compared to 9.5% in the prior year quarter. This is another strong step towards our stated goal of a 13% operating margin. The other income expense line reflects a $4 million expense, compared to a $1.6 million gain in the prior year. The change was largely the result of fluctuating foreign currencies, along with a loss on an asset disposal. Cash from operations was $20 million for the quarter, as we continued our strategic investment in inventory to meet customer demand for our new products, shipped more product via ocean to reduce freight charges and built some protection from global supply chain construction in this period of uncertainty. We believe this elevated inventory level will decrease over the next few quarters. We paid $19 million in dividends and repurchased $10 million of our stock with $265.4 million remaining in authorization. Our tax rate for the quarter was 27.1%, compared to 29.8%. Our tax rate continues to be benefited by increased profits in the West, specifically the U.S. Our manufacturing partners had another strong quarter, growing 27% with steady momentum heading into the back half of the year. These entities continue to benefit our core business by strengthening our supply chain and bringing U.S. profit that helps our overall tax rate. Our annual revenue guidance is $2.81 billion to $2.87 billion. And based on ongoing efficiencies we are driving in the business, we are now raising our annual EPS guidance by $0.20 to a range of $4.30 to $4.50. This guidance assumes a positive foreign currency impact of 3% to 4% and a tax rate of 25% to 29%. While our Q3 is historically slightly softer seasonally than Q2 due to summer vacations in many markets, our prior year quarter included product launch revenue and we saw less impact from travel last year. Our third quarter revenue guidance is $700 million to $730 million, assuming a positive foreign currency impact of approximately 2% to 3%. Q3 earnings per share guidance is $1.10 to $1.20 and assumes a tax rate of 25% to 29%. With that, Operator, we will now open up the call for your questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Doug Lane with Lane Research. Your line is open.
Doug Lane: Yes. Hi. Good afternoon, everybody. I’m looking at the business, the geographic mix here you’ve been talking about out of Asia into the Western markets, it’s been fairly pronounced and I’m not seeing it elsewhere in the channel any meaningful effect. So what is it specifically about Nu Skin that’s driving this, somewhat dramatic geographic mix shift out of Asia into the Western markets?
Ryan Napierski: Hi, Doug. Yeah. This is Ryan. No. Great question. And to your point, we’ve been focusing heavily on this geographic diversification. For us really what’s propelling the West currently is our social commerce enabled business, which has really accelerated well throughout EMEA and the Americas and that’s really driving the balancing of the mix there. As we said, we do see a bright future for social commerce in the East, but it’s taking a little longer for the model to adapt there. But longer term, we see that has great potential, that’s the main driver.
Doug Lane: Is there any impact from the velocity comp plan change in this or in your product mix offerings or is it really just the social commerce and the marketing tools?
Ryan Napierski: No. We really do deploy outside of China. We deploy the same sales compensation model globally, and our product portfolio and product launch strategy is predominantly global as well. And so, it really is focused on social commerce. I do think the other factor, obviously, that has some relative impact is the state of the business relative to COVID implications, I have mentioned in Southeast Asia, for instance, that’s more proximity driven as a business model and so there’s probably some of that effect that we’re seeing as well.
Doug Lane: Okay. Thanks, Ryan.
Ryan Napierski: Thanks, Doug.
Operator: Thank you. Our next question comes from Mark Astrachan with Stifel. Your line is open.
Chris Armes: Hey, guys. Good afternoon. This is Chris Armes on for Mark.
Ryan Napierski: Hi, Chris.
Chris Armes: I guess, firstly, maybe just want to understand more broadly, it just provide some more color around expectations for key geographies and the back half the year?
Ritch Wood: Yeah. I think we -- as we look around, we don’t typically break guidance down by market, by any means. But I think we continue to see our West continue to do well, despite difficult comps and we’ll see ongoing improvement throughout our Eastern markets. Mark, I don’t know if you have anything to add to that?
Mark Lawrence: No. I think we …
Ritch Wood: Okay.
Mark Lawrence: At our Investor Day, we gave some initial ranges by market and those are largely performing in line from a revenue perspective as is our overall revenue guide, which is why we left that revenue number alone. Profitability is obviously what is improving and causes us to raise. Again, we are seeing continued strength in the West from the adoption of the social business model, which Ryan has referenced.
Chris Armes: Got it. I could follow up on, so it looks like customers were down just a little bit. I mean, how should we think about that in terms of just kind of being tough compares year-over-year or losing customers?
Ryan Napierski: Yeah. I think that -- you hit the nail on the head there, Chris. It really is, when you look year-on-year with that surge of what 400,000 or so customers. Our focus really has been how to then sustain customer acquisition retention at that new level, which I think we’ve done quite well. I think there were a couple of areas Southeast Asia, for instance, that had a hit in customers related to what I described earlier. But generally, it really is ingesting that new incremental 400,000 then stabilizing that.
Ritch Wood: And I would only add that, we had a couple of markets, for example, Argentina took a pretty big hit to their customer numbers, that market struggling from a macro perspective with hyperinflation and that’s affecting our ability to run the business, effectively grow the business there. And then in Southeast Asia, we call that a couple of markets in Vietnam and Thailand that are struggling a bit again as COVID and other things affect them. When you take…
Chris Armes: Got it.
Ritch Wood: …those out, right, really good [ph].
Chris Armes: Thanks.
Ryan Napierski: Thanks, Chris.
Operator: Thank you. Our next question comes from Steph Wissink with Jefferies. Your line is open.
Steph Wissink: Thank you. Good afternoon, everyone. I wanted to just step back bigger picture, Ryan, and have you shared with us a little bit about the data that you’re capturing through your affiliate model, any learnings that you think would be relevant to call out at the midyear point, as you’re kind of thinking about planning into the next couple of years? How you’re going to be using data differently to inform whether it’s product plans or programs, marketing initiatives, et cetera?
Ryan Napierski: Yeah. Great. Yeah. Great question Steph. And I think for -- there’s probably a few dimensions we could talk about there. So I’ll try to keep it short. We certainly believe that the future of our company and our growth is really reliant upon the data will be able to collect and this is why that connected device move is so important for us to be able to acquire beyond purchase data, be able to acquire purchase intention, habit driven and that sort of data, of course, all dealt on that security and privacy basis, which is critical there. But it will inform a lot of different areas, in addition to, of course, the products that we serve. The evolution of our social commerce model, our business model that way, as well, is critical and informed that way and so we’re really trying to build that digital ecosystem in a manner that that enables our data lake to capture all of these different types of data and then utilize them more effectively. I think, as we look to the future, I think, there’s going to be a lot more focus from the company around persona driven work as we think about personalization. And you think of companies like Netflix that personify their product in their case digital content through persona mapping, that’s the sort of direction we’ll be able to accomplish through connected devices and learning. So it’s a big pivot. It’s one we’ve been investing in for with our data lake and with the cloud for the last several years and we’re looking forward to being able to do more of it in 2022.
Steph Wissink: That’s great. And then as a follow up, Mark, a question for you just related to capital efficiency, it seems like the business is becoming more capital efficient. I know there is a little bit of a setback with the manufacturing investment. But it start -- seems like it’s starting to really kick in again. Maybe talk a little bit about how the combination of your infrastructure and the assets combined with the migration towards social commerce, how that might drive continued improvements in your overall capital efficiency, both at the working capital level and then also at the return on invested capital.
Mark Lawrence: Sure. Thank you, Steph. And this has been an area of focus for us for a long period of time and part of the strategy of why we acquired manufacturing entities to shore up our supply chain. You can see our inventory numbers have spiked the last few quarters. This is a strategic decision that we made as we saw global supply chain constraints around the world, we decided to go long in our own products and really be able to meet the demand of our customers, where many other people were struggling in that area. And then it also allowed us to put more products on the ocean. And you see that benefit flowing through our gross margin line and that’s not one that will go away, as we’re able to get more product where our customers are. Lastly, we’re investing in a factory in China and we’ve talked about this for a period of time and that investment should finish this year. And so that capital will be able to be reallocated towards digital tools and digital tool expansion.
Steph Wissink: Very helpful. Thank you.
Operator: Thank you. Our next question comes from Faiza Alwy with Deutsche Bank. Your line is open.
Faiza Alwy: Yes. Hi. Good evening, everyone. First of all, Ritch, I just want to congratulate you again on your retirement and all your success at Nu Skin, and Ryan, congratulations to you again as well and wish you both the best.
Ritch Wood: Thanks.
Faiza Alwy: I guess -- you’re welcome. I guess first stage I just wanted to follow up on Steph’s question around sort of the gross margin improvement. And Mark, I don’t know that I fully understand how sort of what’s flowing through gross margin and what exactly you benefited from this quarter. So if you don’t mind just explaining it a little bit further, that would be really helpful?
Mark Lawrence: Sure. Thanks, Faiza. There’s a number of things that have benefited gross margin. The first is, we really set out a couple of years ago to improve product costs and so our supply chain, our value stream team as we call them, has really worked on improving product costs, particularly in our devices and in our new product launches. And what device is now making up nearly 30% of our business. Those products which were historically potentially challenging to gross margin are now accretive to gross margin. So the big driver is cost improvements, product mix, and then, lastly, supply chain efficiencies. We are able to put more product on the ocean, which meant we spent less extra cost in airfreighting product to our customers.
Faiza Alwy: Okay. Got it. What’s driving the lower product cost? Is it sort of having access to better suppliers or is it something else?
Mark Lawrence: Yeah. I would say the first area that is improving our product cost is our owning our own manufacturing. So about -- we are producing more products through our owned entity factories and those products, of course, come to us at cost. And so that would be the first area where we own manufacturing entities. And the other areas just improve the efficiencies in product development. We’re now four years into shipping LumiSpa and we’ve taken cost out of the production of that product, which is still a very big top seller for us.
Faiza Alwy: Okay. Great. That’s very helpful. Thank you. And then I just wanted to say, do you have any specific targets that you can share regarding ageLOC Meta? I think you -- I have to go back and check. I think, Ryan, you mentioned a number of places where it is launching in the back half, I believe Q4 in particular. So just wondering if there’s -- is there going to be an appeal type process as you’ve done historically or is there or just share a little bit more around that launch?
Ryan Napierski: Sure, Faiza. Yeah. So we -- there are two different products that will be introduced around the globe, not all of them, we had all markets we will have Meta in the second half. And so we need to temper across the two products. Based upon our guide models model, so to speak, you can expect something similar between the two products of what we saw last year with our launches, and Mark, I think that was what in the range of, we did with the introduction of Boost and Nutricentials. We did about $70 million in the two quarter between the two. So we think it will be similar to that. And again, it will be split from Meta and our Beauty Focus product as well at our current forecast.
Faiza Alwy: Got it. Okay. Thank you. And then just last one, Ryan, you made some comments around social commerce in the Eastern markets. It sounds like you have a number of initiatives. What -- what’s the timing of that? Is that happening right now in real time and should we begin to see the benefits sort of above and beyond the product launches this year or is it more of a 2022 driver for the Eastern market?
Ryan Napierski: Yeah. I think, we anticipate, so to answer your question, yes. Social commerce training is going on in much of the different states and every market add a little different state in terms of the adoption. For the model, we don’t have a lot built in incremental for the social commerce in this back half as we anticipate the timing to take longer. So I think it is more kind of a 2022 effect level. But the activities and the trainings are taking place now and it’s really the company aligning with leaders around a new approach to market that we’re learning over there.
Faiza Alwy: Perfect. Thank you so much.
Ryan Napierski: Yeah.
Ritch Wood: Thank you, Faiza, and looks like that’s all of our questions. We really appreciate all of you and I think it’s truly been my honor to be the CEO of Nu Skin and lead such an amazing team focused on really improving lives all around the world. I truly appreciate our global Nu Skin family, our talented sales leaders, our faithful and dedicated employees. And many of you who I’ve worked with for a lot of years, thank you for your great support to our company. Just in closing, I’ll let you know that I’m really confident that we’ll continue to build on our 37 year history of developing innovative beauty and wellness products, and helping people look and feel their best, providing opportunities for affiliates to succeed. I would repeat to you the message I continue to share with our Nu Skin family and that is, the world needs what we have to offer and I truly believe the best is yet to come for Nu Skin. Thank you again for your time today.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.